Operator: Good day, and welcome to the Independent Bank Corp. Third Quarter 2025 Earnings Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Before proceeding, actual results may differ materially from these statements due to a number of factors, including those described in our earnings release and other SEC filings. We undertake no obligation to publicly update any such statements. In addition, some of our discussion today may include references to certain non-GAAP financial measures. Information about these non-GAAP measures, including reconciliations to GAAP measures, may be found in our earnings release and other SEC filings. These SEC filings may be accessed via the Investor Relations section of our website. Finally, please note this event is being recorded. I would now like to turn the conference over to Jeffrey Tengel, CEO. Please go ahead.
Jeffrey Tengel: Good morning, and thanks for joining us today. I'm accompanied this morning by CFO and Head of Consumer Lending, Mark Ruggiero. We had a busy third quarter. We closed on the enterprise on July 1 and completed the systems conversion this past weekend. We posted solid financial results and continue to make progress on several of our strategic initiatives. Results for the third quarter reflect continued NIM improvement, strong C&I loan growth, solid growth in low-cost deposits, lower credit costs, and the beginning of the realization of cost savings from the Enterprise acquisition. Our PPNR return on average assets was 1.7% on an operating basis, and our operating return on average tangible common equity improved 283 basis points to 13.2%. I wanted to focus most of my comments on the enterprise integration and conversion. Before we get into some of the specifics, I would like to highlight one important difference in this transaction. The typical pattern in most of the acquisitions I've been involved in is for the acquired CEO to get a big payday and ride off into the sunset. In the case of Enterprise, their former Chairman and Founder, George Duncan, remains actively involved as an advisor to our Board, chairs the newly created Lowell Advisory Board, and continues to be an advocate for Rockland Trust and the community. There are several other senior executives from Enterprise who also continue to be a resource and advocate for us. The involvement and insights provided by George and his colleagues have been invaluable as we bring these two banks together. Simply put, they care. Regarding the integration, things went extremely well. We've had great collaboration between the teams post-close and the lead-up to the systems integration and conversion that took place this past weekend. While it's still early, we think the conversion went exceptionally well. Many colleagues across various business lines commented on how this transaction differed from others they were involved in. The level of teamwork and appreciation for what each side brought to the table was a common theme across many I spoke with. For Rockland Trust colleagues, we have been open to acknowledging ways in which the Enterprise Bank did things differently and perhaps better. We have already adopted some practices and approaches from Enterprise. On the commercial banking side, we've retained almost 100% of client-facing personnel and have experienced negligible customer loss. Obviously, keeping the lenders has helped retain the customers. The Enterprise lenders are fully embracing Rockland Trust's diverse lending product set as well as our treasury management and fee income offerings. As evidence of this engagement, Enterprise Bankers' originations for the third quarter this year were 27% higher than the prior year period. This is a testament to my comment last quarter where I highlighted our similar credit culture. As such, there has not been the typical transition period where the acquired bankers must figure out where the new bank's credit appetite is. A key initiative going forward will be to continue to cross-sell deeper into this enterprise customer base. On the retail banking side, it's important to emphasize that no Enterprise branches were closed and all Enterprise branch employees were retained. There are many strategic and tactical methodologies that we have found to be beneficial, and we'll be working to incorporate those at Rockland. These include incentive plans, position responsibilities within a branch, and de novo branch openings. Excluding brokered funds, deposit retention at Enterprise has been better than expected. We are also eager to bring our broader consumer lending product set to this market, with early activity indicating the team is well-positioned to introduce both mortgage and home equity offerings to further support these strong communities. Within our investment management group, we've been able to retain all employees we had targeted. The caliber of talent, the strength of the client base, and the depth of relationships between colleagues and clients are outstanding. At both Rockland Trust and Enterprise, a client-centric focus and the cultural integration has been excellent. In summary, success is driven by having talented and engaged employees. It was great to note that over 90% of Enterprise employees who had a job offer extended accepted that offer. We can't be more excited about the merits of this transaction. Shifting gears a bit to the general business conditions in the current environment, we can now add the government shutdown to the existing list of tariffs, government funding, inflation, and unemployment that weigh on clients' minds. Overall, the word I think our clients would use to characterize all this is uncertainty. Yet our client base remains resilient. The recent AIM poll, which is the Associated Industries of Massachusetts, showed that their Massachusetts business confidence was in the high 40s, right where it's been for the last five months. A score of 50 is considered negative. Of note, the poll was taken prior to the government shutdown. Turning to results at Independent Bank Corp., I would like to touch on just a few financial highlights before I turn it over to Mark. First, 13% annualized rate. This represents continued strong performance in our legacy markets like Plymouth County, coupled with some of our newer initiatives maturing. Second, commercial real estate loan balances declined organically at a 6.7% annualized rate due to normal amortization and the intentional reduction of transactional CRE business. We've talked in the past about getting our CRE concentration below 300%. As expected, the Enterprise acquisition resulted in our CRE concentration increasing. However, the quarter-end number landed at 295%, indicating we have quickly met our challenge to get our concentration below 300%. Despite this, there remains additional transactional CRE we wish to exit as quickly and as economically as possible while still serving our legacy client base. In all, we see a clear path for the bank to return to a rate of loan growth more commensurate with our solid deposit growth. Third, we think generating organic demand deposit growth of 5% annualized in the third quarter, which has been a historical strength of ours. DDAs represent a healthy 28% of overall deposits, about where we were pre-pandemic. In the third quarter, the cost of deposits was 1.58%, highlighting the immense value of our deposit franchise. Lastly, our wealth management business continues to be a key value driver. We grew our AUA to $9.2 billion in the third quarter, inclusive of the $1.4 billion acquired from Enterprise. Now that we have the Enterprise conversion behind us, we will continue to prepare for our core conversion of the entire bank scheduled for May '26. The move to a new platform within the FIS ecosystem will improve our technology infrastructure, enhance efficiencies and scalability, and support the future growth of the bank. We think third-quarter results are an important stepping stone to improve growth and profitability for Rockland Trust. We expect to build off these solid results in the quarters ahead. We believe prudent expense and capital management, continued NIM improvement, the realization of the benefits of the Enterprise acquisition, and improved organic growth will unlock the inherent earnings power of Rockland Trust. On that note, I'll turn it over to Mark.
Mark Ruggiero: Thanks, Jeff. As Jeff just hit on a lot of the key drivers for the quarter, I will go into a bit more detail in a few areas, focusing primarily on the Enterprise acquisition, some of the big moving pieces during the quarter, and expected trends going forward. To summarize the quarter results, 2025 third-quarter GAAP net income was $34.3 million and diluted EPS was $0.69, resulting in a 0.55% return on assets, a 3.82% return on average common equity, and a 5.84% return on average tangible common equity. Excluding $23.9 million of merger and acquisition expenses, and $34.5 million of day two CECL provision for non-PCD acquired loans and their related tax impacts, the adjusted operating net income for the quarter was $77.4 million or $1.55 diluted EPS, representing a 1.23% return on assets, an 8.63% return on average common equity, and a 13.2% return on average tangible common equity. I'll start with some of the key metrics that are heavily impacted by the Enterprise acquisition. First, in terms of a capital update, a reminder, we originally estimated the Enterprise deal to result in 9.8% tangible book dilution. Including estimated M&A to be incurred in the fourth quarter, we pegged actual tangible book dilution right around 7% as the loan interest and credit marks came in lower than originally modeled. As such, we anticipate slightly lower earnings accretion than originally modeled as well. In addition, we repurchased $23.4 million capital at an average price per share of $64.07 during the quarter. Despite the deal impact dilution and repurchase activity, our improved earnings profile and OCI movement resulted in a tangible book value per share decrease for the quarter, of only $2.17 or 4.5% while the tangible book value per share is up modestly over the year-ago metric. Regarding the net interest margin, the reported margin improved meaningfully to 3.62% for the quarter. The 25 basis point increase from the prior quarter can be summarized by highlighting a few key components. First, both the Rockland Trust and Enterprise Bank balance sheet profiles are well-positioned to experience margin growth from loan and securities cash flow repricing, and we saw that drive a good portion of the increase this quarter. In addition, though it has negligible impact on the actual net interest income results, the margin also improved slightly by the payoff of approximately $110 million of acquired debt from Enterprise. The margin also expanded approximately five basis points due to purchase discount accretion on the acquired securities book. And lastly, saw approximately eight basis points of expansion from purchase loan accretion. Regarding this last item, we recognize that the loan accretion results are less than suggested in our guidance last quarter. I would suggest that this is purely a timing issue. The total accretable loan interest and CreditMark is approximately $160 million, and we will expect the vast majority of that to come in over the next five to seven years. However, we remind everyone that the actual results can often be lumpy due to prepayments, individual loan payoffs, and repricing events. As long as longer-term rates remain intact, we are confident that our reported margin will sustain and will reflect a sustainable level as those accretion numbers roll down. With the Federal Reserve cut occurring in mid-September, the quarterly results had very little impact from the Fed action. We continue to reiterate our guidance that the bank is positioned to see little impact on the net interest margin from the recent and any future Fed cuts. Shifting gears to loan and deposit activity for the quarter. We are very pleased with the organic results for the quarter. As Jeff just alluded to, you saw our strategic initiative to focus on relationship CRE and C&I lending on display. As total C&I balances increased organically over 13% on an annualized basis for the quarter and are up over 7% through the first nine months of the year. In addition, we are still optimistic over CRE construction activity moving forward with the year-to-date declines driven primarily by runoff and workouts of more transactional balances. Specific to the Enterprise acquisition, our newly acquired teams are working off of the same playbook. Prioritizing C&I and relationship CRE, and they have not missed a beat remaining very active in the deal flow during the quarter. This focus resulted in a modest decline of approximately $45 million in total loan balances from the enterprise activity which was nicely offset by growth in the legacy Rockland book. Moving to the deposit side of the balance sheet, the story is equally positive. First, specific to the enterprise acquired balances, the third-quarter results reflected a decline of approximately $80 million. However, only $30 million of that relates to relationship balances. While $50 million reflected the payoff of a maturing brokered CD. And similar to the loan activity, the legacy Rockland deposit organic growth more than offset the enterprise-related reductions. Resulted in approximately 1% combined annualized growth for the quarter. Switching gears to asset quality. The quarterly results capture a few different moving pieces related to the allowance for loan loss and provision levels. High-level net charge-off activity was only $1.8 million for the quarter. Or four basis points on an annualized basis and overall asset quality metrics remain strong. To provide a little more color on the reported results, the allowance for loan loss increased $45.7 million for the quarter which includes $34.5 million of day two provision on non-PCD acquired loans, $9 million of carryover allowance on acquired PCD loans, and $4 million of core provision less charge-off activity. Total non-performing assets at September 30 are 0.35% of total assets and include approximately $25 million of acquired NPAs from Enterprise. And though no new to non-performing activity was up slightly from the prior quarter, no material loss exposures were identified in those recent downgrades. Rounding out the update on non-interest related items, we are pleased to report that both non-interest income and non-interest expense are right in line with expectations following the Enterprise merger. On the fee income side, as Jeff just mentioned, it's worth re-highlighting that the merger brought over an additional $1.4 billion in assets under administration. With the current quarter activity, total AUA grew to $9.2 billion as of September 30. On the expense side, I will highlight a few key items. First, we reaffirm our original guidance of achieving 30% cost saves on the acquired enterprise expense base. To be fully realized during 2026. Merger-related expenses totaled $23.9 million for the quarter and were comprised primarily of severance-related costs and professional fees. Amortization of intangible assets for the quarter was $7.3 million with $6.1 million related to the newly acquired intangibles from the Enterprise deal. And as Jeff mentioned in his comments, we are working through implementation efforts for a core system upgrade in May '26. We had little impact from this in the third-quarter expenses, though we do anticipate approximately $5 million of one-time costs to be incurred over the next couple of quarters. And lastly, the reported tax rate for the quarter stayed relatively consistent at 22.8%. I'll now just close out my comments with fourth-quarter guidance only as I will plan to give full-year 2026 guidance with our fourth-quarter results. In terms of both loan and deposit growth, we anticipate a low single-digit percentage increase off the September balances. Regarding asset quality, as I've been stating, we still do not see any pervasive issues across segments. And as such, provision will continue to be highly driven by developments of individual commercial credits. Regarding the net interest margin, we reaffirm and anticipate 4% to six basis points of expansion on an adjusted basis which excludes loan accretion impact, which as I noted before can be volatile on a quarter-to-quarter basis. For non-interest income, we estimate flat to the low single-digit percentage increase off the third-quarter results. And for non-interest expense, we anticipate total core expenses excluding merger-related costs and one-time conversion upgrade costs to decrease by approximately $2 million. This decrease represents a portion of the remaining enterprise cost saves expected to be realized. As some temporary salary costs will extend into the first quarter. Now, as I just alluded to earlier, with the enterprise core conversion behind us, we are ramping up efforts in preparation work for our upcoming core system upgrade. Which we estimate will result in approximately $3 million to $5 million of one-time costs during the fourth quarter. And lastly, the core tax rate for the fourth quarter is expected to be in the 23% range, further impacted by any one-time adjustments associated with finalizing the 2024 tax returns. That concludes my comments. And with that, we'll now open it up for questions.
Operator: We will now begin the question and answer session. The first question comes from Steve Moss with Raymond James. Please go ahead.
Steve Moss: Good morning, good morning, Steve. Hi, Steve. Nice quarter here and definitely a lot of moving pieces. Maybe just one thing to start here. I noticed in the deck you guys had said there was good C&I growth. Just wondering if you could quantify that number here as you're kind of hard with the merger noise. And then also just talk about the loan pipeline.
Jeffrey Tengel: Yeah. So the C&I growth has been, as I said in my comments, really a function of we're really good at what we do and we've been doing it a long time, but it's really been in that kind of the lower middle market. And so we've continued to make progress there. As I mentioned in some of our legacy markets like Plymouth County, we've changed the incentives of the bankers there too and sent more C&I than CRE and with the balanced scorecard, C&I usually checks more of those boxes like with deposits and treasury management and such. So, we think that's part of it. And then we had, as I mentioned the last couple of quarters, we hired somebody to lead our effort in the middle market and in some of our specialty businesses and he's had an immediate impact. And the loans that his groups and that he are responsible for are all C&I and they tend to be a little bit bigger than some of the things we've done historically. And so that's really what's driving the C&I growth that we've been seeing over the last quarter or two. With regard to the pipelines, I'd say they're pretty healthy. I mean, haven't seen a dramatic increase or decrease. I think they've been somewhat stable with where they've been in the past. Obviously, kind of with the caveat that as you clear out portions of your pipeline with closings, you got to rebuild it a bit. So we've been experiencing that quarter to quarter. Overall, I think they've been pretty healthy.
Steve Moss: Okay. Appreciate that color. And just curious, where is loan pricing you guys these days?
Mark Ruggiero: Yes. I mean, still on a spread basis, Steve. We stay disciplined. We're still looking to get above 200 basis points on a spread, especially on the C&I side. Given where rates are today, as you can expect that tends to lead you to around 6%, low sixes. So we're always looking at staying disciplined to get the appropriate spread over whatever term we're funding.
Jeffrey Tengel: Steve, one other comment maybe on our C&I exposure since I know it's a topic that we'll probably get asked about later is, none of the growth that we're talking about in C&I is coming in the NDFI space. So, don't have any specialty businesses that are geared to that space or have much in the way. We have a couple of one-off relationships with leasing companies where we provide a line to them. But it's incredibly modest and we don't have any of our initiatives pointed at that space. So, all of the C&I growth that we're talking about is all Eastern Massachusetts and it's all kind of middle market companies.
Steve Moss: Right. And then just kind of curious here in terms of the on the office side of things, a stable quarter, I guess, is kind of how I would characterize it for office. Just kind of curious, how are you guys thinking about resolution here? Are you guys feeling better in terms of office credit? There's obviously a few a decent number of classified loans coming to maturity next year in particular. Just kind of curious if you have any updated thoughts as to what you're seeing and resolution on the criticized and classified?
Jeffrey Tengel: Yes. So I'll start and then Mark you can you can comment. I would say in general, I feel better today than I did six months ago. And part of that is we've resolved several of the larger problems we've had and part of that is when I sit through a lot of the meetings where we're talking about these credits, I think you know, the general feeling I walk away with is we still have work to do. We're not out of the woods yet, but it feels like there's a good number of of the work we're doing with these loans where we expect a positive resolution or a positive outcome in part because the sponsors working with us were reaching middle grounds on this. We're providing them time to to get the asset they own maybe in better shape and they're providing us with money or a master lease or what have you. So there's a there's a bunch of different ways to get to that point. But I would say net net I feel positive. That's not something I could put numbers to, but it's just a general feeling.
Mark Ruggiero: Yes. I don't have too much more to add, Jeff, outside of when you look at, as you were indicating to some of the the practical implications of what's coming due over the next couple of quarters. It's really concentrated in just a handful of loans. And to be honest, a couple of these are trending in the right direction where there's potential for upgrades of risk ratings and good resolution. If there is a little bit of an uncertainty, you're certainly not seeing the loss exposures that we experienced earlier in the quarter. So I think from that perspective, it feels like true losses and provision expectations feel much more contained.
Steve Moss: Okay. That's great. And maybe just one last one for me and I'll hop back in the queue. But you guys found a bit more constructive on commercial real estate balances and definitely talking about a better C&I loan pipeline. I know, Jeff, you've been talking about more organic growth for a little while now. Historically, you guys have done mid single digit type I'm sorry, low single digit type loan growth. Could we maybe see something a little better next year given what kind of sounds like things are shaking out?
Jeffrey Tengel: Yes, I think we could if the trends continue here. And and we get our enterprise bankers continuing on the same path that they they just demonstrated in the first quarter that we've owned them. I feel feel like kind of if I were to bracket it kind of low to mid single digits. So, think previously we would have said low single digits. So, don't think we're ready to put a stake in the ground and say this is what we think the number is going to be. But But I think we feel pretty good about.
Steve Moss: Great. I appreciate all the color here and I'll step back in the queue. Nice quarter.
Jeffrey Tengel: Thanks. Thanks.
Operator: The next question comes from Mark Fitzgibbon with Piper Sandler. Please go ahead.
Mark Fitzgibbon: Hey guys, happy Friday. Hey Mark. Hey Mark. Mark, first question I have for you is, your guidance on the margin of four to six basis points of expansion in the fourth quarter, does that assume one or two Fed rate cuts?
Mark Ruggiero: Somewhat moot to Fed cuts, guess I would say Mark, because we're as I mentioned in the call, like I really feel good about our ability to neutralize any Fed cuts pretty quickly. So I would suggest that similar guidance regardless of the Fed action.
Mark Fitzgibbon: Okay. And then secondly, now that you've marked the securities portfolio of enterprise, any plans to kind of restructure that?
Mark Ruggiero: Probably not at this point. I mean, not that it's about a reporting answer here, but I think we view that as now being market securities. So whether we sell those off and replace with new securities, I think you're in the same position. So it's asset classes we're comfortable with. We're comfortable with the total book of the securities portfolio. And the all in now yield on that book is is certainly a lot better. So I don't feel strongly there's any reason to restructure that at this point.
Mark Fitzgibbon: Okay. And then I wonder if you could give us any color on the $16.8 million of new non-accruals. Any particular is it concentrated in a couple of loans? What type of loans? Anything you could share with us? Sure.
Mark Ruggiero: Yes, it's a it's actually really only three loans greater than $1 million in that number. The largest being about a $4.5 million construction loan that came over with with the Enterprise acquisition. That's a fairly benign story there in terms of what we expect from probably hopefully no loss. This was a construction loan that was under an agreement and had just been delayed and kind of pushed out that P and S has since expired, but the interest is still there and we're hopeful and feel pretty optimistic that there is a sale that will get paid out in full on that. So that's a $4.7 million loan. That was the biggest of them. After that you dropped to $1 million and $1.1 million, one of those being a residential loan that appraisal is well in support of the outstanding balance and then it's just a handful of smaller stuff. So I know the number ticked up a bit from the prior quarter, but we really don't see any any loss exposure in that bucket at this point.
Mark Fitzgibbon: Okay. And then I noticed you bought a little bit of stock back quarter at an average price like $64 and change. How do you think about the tangible book value dilution from buying it up here at, call it, $140 million or $145 million of tangible book value.
Mark Ruggiero: Yes. I mean, it's always a valuation consideration. Certainly, we're always a bank that's sensitive to tangible book dilution. But at the same time, it really comes down to do we feel the banks appropriately valued and what's the right level to be buying at. So I think it's it's something we're going to continue to reassess at what ranges will tear up activity. I'd like to suggest we will continue to stay active but we'll just revisit that over the next next month or two and see what the right levels are to keep INF?
Mark Fitzgibbon: Okay. And then lastly, for you Jeff, I was curious given how friendly the regulatory environment seems to be for M&A these days, what are your thoughts about doing another transaction? And would you look at all sort of further afield from what you have traditionally?
Jeffrey Tengel: Yes. So I guess I would point back to the last couple of quarters and our posture hasn't really changed which is not really interested or focused on M&A at the moment. We're very focused on organic growth and getting our company positioned to continue to be a good earner. And the integration and and conversion of enterprise. And just because the conversion is behind us, that doesn't mean our work is done. So, we still have a lot of work to do making sure that continues to be a good story, the conversion I'm speaking of. And then we saw a lot of integration activities going on in order to synergize the enterprise franchise with the rest of our franchise. So, message hasn't really changed in my mind. Thank you.
Mark Fitzgibbon: Thanks, Mark.
Operator: The next question comes from Laurie Hunsicker with Seaport Research. Please go ahead.
Laurie Hunsicker: Yes. Hey, good morning. So Jeff, I just wanted to start by asking a question that I think you largely answered, but I just want to hear it because it's so great. NDFI exposure is basically nothing.
Jeffrey Tengel: It's I mean, to the extent you want to call a couple of local leasing companies where we have some exposure to. But beyond that, it's really it's negligible. It's not hasn't ever been really a focus of ours isn't today. We don't have any businesses geared towards that sector of the economy.
Laurie Hunsicker: Right. Okay. And then office, just circling back to that, so the $42.9 million of criticized that you've got maturing in the fourth quarter, I guess how much of that came from EBTC, so it's marked or how should we think about that piece? It's up from where you were last quarter, but obviously quarter didn't include EBTC. Is there any color you can give us around that 42.9% criticized office maturing in fourth quarter?
Mark Ruggiero: Yes. You've seen this now play out on a few loans. I think over the last couple quarters here, Laurie. Those were primarily the same two loans that we talked about as maturing last quarter. We entered into a couple of short-term extensions as we were working through more permanent resolutions. So happy to report on one of those loans, which is a $27 million relationship that was just recently approved for a new two-year renewal with some injected equity as well. The projected debt service coverage looks very strong. So that property has morphed into a much better position. And was just recently extended. The other remaining balance, so there's really only two notes that make up that $42 million. The other one is likely to be sold. We're entertaining that right now. The offer we see on the table falls just a little bit short, but nothing of a material nature. So we're hopeful for a resolution there as well. But that one is just potentially a pending sale.
Laurie Hunsicker: Got you. And that's $16 million. That's about $16 million correct.
Mark Ruggiero: There's another couple of million dollars related to that relationship that is not in that number that is exposure to the same borrower, but the office exposure is only $16 million. Got you.
Laurie Hunsicker: Got you. Okay. And then it looks like your office non-performers down to $22 million. That's great. That's just that that class A office NIC. Correct. That maybe is gonna go back on performing status here in the next one or two quarters. Can you just help us think about that one? Any updated information?
Mark Ruggiero: That one would not be returning. They have a essentially payment-free period for quite some time now heading out into 2026, aware of the even though it's technically performing. Under the modification we're of the opinion that we would not restore it back to accruing until we see cash flow resuming. So that's going to stick around on NPA for a bit unless there's a path to a full resolution through another channel. But if it stays as is, it'll just it'll be on payment deferral for quite some time.
Laurie Hunsicker: Got you. Okay. And that still is $22 million is that right? It is still $22 million that is the one, that's just one one loan. Okay. Great. Appreciate all the details you give on office. Okay. So maybe jumping over to margin, what was your spot margin?
Mark Ruggiero: Spot margin for September excluding loan accretion I think is the appropriate number to give you that was $3.57.
Laurie Hunsicker: Okay. And then And that includes the bond accretion back to maybe question earlier, we view that as as the core margin now or what we refer to as our adjusted margin. So that is inclusive of the bond pickup we got with enterprise, but I will continue to isolate the loan accretion as can be a bit lumpy.
Laurie Hunsicker: Perfect. Okay. And then I do appreciate that loan accretion income is lumpy. Initially, obviously, your guide was 18 basis points. You had less dilution, the tangible book on the deal, which was amazing, but obviously, less accretion. I mean, and I know I can jump around, but thinking about it, like, eight basis points give or take on margin. Is that the right way to be thinking about it?
Mark Ruggiero: It feels to to be candid, Laurie, I think it would probably move up a bit from there. I don't want to predict an exact number, but you didn't see a lot of payoffs this quarter, which typically can accelerate some of the marks. So I would expect that move north a bit. I just don't want to pick a number. I think it's important to note though the 18 points I think that you were referring to was also inclusive of the securities accretion as well. So that's five basis points of the 18. So I think if you're isolating just the loan mark that would have originally thought to be 13 basis points or so. You may see a quarter where it actually is in that range or you may see a quarter like you saw here. So I think you're going to see I think you will see volatility between 10 basis 13 basis points on a given quarter. If that makes sense. Okay.
Laurie Hunsicker: That's helpful. Okay. And then just jumping over to expenses. So by my math, you got one-time charges left to $32 million. Is that right? Or is there a better number?
Mark Ruggiero: The $61 million we originally modeled we a lot of that actually went through enterprise and I shouldn't say a lot, but about $22 million of that went through enterprises. Books. In the second quarter. They were change of controls that was pushed through on their side. Prior to close because they were change of control contracts and the accounting nature suggested it was their expense. So 22 of it already went through enterprise, We've incurred about twenty seven or twenty nine year to date. And based on the revised estimates, I'm probably looking around $8 million number 8 million to 10 million in the fourth quarter.
Laurie Hunsicker: That's great. Okay. And that finishes it. Okay, good. And then if we think, to your point, that core expenses here increased $2 million ex merger, ex said, ex system upgrade. I mean, I guess, we sort of fast forward in we would be looking to a clean quarterly run rate on expenses, how should we be thinking about that number?
Mark Ruggiero: Yes. It's a good question. I will reserve formal guidance for 2026 till next quarter. But I think if you just look at the third quarter, round to $137 million of what I would call core expenses excluding M&A will we're pegging additional cost saves of about $2 million that gets you to $135 fully baked cost saves will probably get a little better than that. We're going to go through the budget process and strategic planning in the next couple of months. I wouldn't suggest there's meaningful increases by any means coming, but I don't want to pick a a new number yet for 2026, but I don't think you're to see it move too far north from that map that I was just suggesting, is about a 135 per quarter type number.
Laurie Hunsicker: That's great. Super helpful. Thanks for taking my question.
Mark Ruggiero: No problem. Thanks Laurie.
Operator: The next question comes from David Conrad with KBW. Please go ahead.
David Conrad: Hey, good morning. I was hoping you could help me out a little bit with the securities portfolio if I promise this will be the last time that I'll ask it. But I was wondering if you can kind of split out the kind of legacy with the enterprise book. In other words, you went from February to February. Just wondering what the yields are on the marked enterprise side and then what what kind of improvement from the February on the legacy side and kind of what's the new investment run rate you're getting there? So I'm trying to kind of figure out where the cash flows are going and where the yields can improve if that makes sense?
Mark Ruggiero: It does. I may not have all the pieces for you, so I may need to follow-up. But I would peg the yield on the acquired book in the low 4% range and I can follow-up with an exact number there, but I believe the discount mark that you're seeing in a creep in essentially brings that piece of the portfolio into the low fours. Which is consistent with what we're replacing runoff of our legacy securities at with new securities. And that's the lift you're seeing on on the Rockland side. So the cash flows we're anticipating on our book I guess on the combined book going forward is about $700 million in 2026. I guess technically a portion of that is already at market rate because if it's enterprise related, it's been marked up to the 4% range. But a good portion of that will be on average probably 1.5%, 2% coupons that are being replaced at 4% yields. And that's that's a piece of that overall margin expansion that we've been talking about pretty consistently now for a few quarters at four to six basis point range is because a basis point or two of that is because of the securities repricing that we're Yes, got it.
David Conrad: Okay, perfect. And then following up with the earlier comment, a question from Steve. On loan yields. I think that was more directed towards C&I. Maybe the belly of the curve has come in a little bit more than what I thought, but I'm this I'm a new CRE is there a difference in in kind of the new money yield you're looking at there?
Mark Ruggiero: Not much, David. I think fixed rate free is probably penciling out somewhere around there. Sure we're seeing some competition get below 6% given as you mentioned the contraction at that part of the curve. So I'm not suggesting we're not doing deals that might be slightly under 6%, but it's going to be right around probably 6%. We are seeing pretty modest pickup in swap activity. I think that's back on the table for borrowers to be thinking about. That's a product we've always been very comfortable with. So you saw a bit of an uptick in the third quarter fee income as it relates to swap fees. So again swap pricing I wouldn't suggest is that far off. It's just I think borrowers are thinking about that a bit more now as well.
David Conrad: Got it. Okay, perfect. Thank you. Appreciate it.
Mark Ruggiero: Okay. Thank you.
Operator: We do have a follow-up from Steve Moss with Raymond James. Please go ahead.
Steve Moss: Good. Two calls from me guys. In terms of the balance sheet, you guys have a reasonably healthy cash position here. Been running it for a little bit. Just kind of curious if there's any thoughts on deploying some of that into securities here and maybe shifting the mix given Fed rate cuts or just any thought process around that?
Mark Ruggiero: Yes. Yes. It's a good question. I mean, think as the balance sheet has grown there's certainly a slightly elevated cash position that we believe is appropriate just from a liquidity management standpoint. But I do think there's opportunity to put a little of that back into securities. I think right now we're comfortable with the current level as we work through the acquisition. We get a bit more visibility into what loan growth expectations look like. So I'm not I'm not feeling antsy to rush to put that cash to work. Really would like to see what the loan demand looks like, obviously, how deposits play out post acquisition. So sitting on a little bit of excess cash feels appropriate right now.
Steve Moss: Okay. Appreciate that. And then on cap here, you guys are almost at a 13% CET1 ratio. Kind of curious how you're thinking about a longer-term target. And given good profitability in and where credit is these days, could you be a little bit maybe more aggressive on the buyback? I heard your answer on TBV. Buying back, but it seems like you have room here.
Mark Ruggiero: No, it's a fair question. Certainly, I think optimal levels of CET for us in this environment I would certainly be comfortable at 12% CET1, 8.5% to 9% tangible capital. And you're hitting the nail on the head that suggests there's opportunity to continue to engage in buyback activity to work that down. So that would require a lot of buyback I think to be realistic there. So it's something that we understand and appreciate ideally we would love to be able to take advantage of these great new markets that we're in with enterprise and grow into that capital. Growth will need to be driven by good core funding. I think that's going to be a lot of what our mentality will be. So if can find better growth because we're getting good deposits and good funding I'd prefer to grow into that capital, if growth stays in that low to mid single digit range, I think buyback is certainly a tool that we should be exploring more.
Steve Moss: Right. All right. That's everything for me. Thanks.
Mark Ruggiero: Thanks, Steve. Thank you.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Jeffrey Tengel for any closing remarks.
Jeffrey Tengel: Thanks. We appreciate your interest in Independent Bank Corp. and everybody have a great day. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.